Naohiro Minami: I am Naohiro Minami, Chief Financial Officer, of the JT Group. Thank you, for joining me in this briefing on our Third Quarter Earnings Results. I will start by covering the highlights of our consolidated financial results for the nine months of 2021. Please take a look at slide four. Our adjusted operating profit at constant currency, which is our performance indicator, increased by 21.9% year-on-year, driven by continued robust momentum in the tobacco business. We can attribute this robust performance to a strong pricing effect and continued share momentum in the international tobacco business, as well as solid industry volume in various markets. Revenue was up year-on-year due to strong top line performance in the tobacco business, despite lower sales in the pharmaceuticals and processed food businesses. In addition to good top line performance, favorable ForEx conditions, specifically the weaker Japanese yen and other currencies against the U.S. dollar, boosted both operating profit and adjusted operating profit on a reported basis. Based on higher operating profit and lower financing costs, profit attributable to the owners of the parent company increased. Let me move to the results for each business. Please turn to slide five. So let's look at volume performance in the Japanese domestic tobacco business. Total RMC industry volume decreased year-on-year due to growth in the RRP category, and the impact of price revisions in 2020 in addition to natural decline. On the other hand, total our RRP industry volume shows another year-on-year increase. RRPP market size from January to September 2021 was 29.5%, up year-on-year, but on a par with size estimated at the end of the second quarter. We project that the temporary demand surge ahead of our price revision in October 21, which I will expand on later, was about the same as in 2020. With this said, there is no significant impact on comparatives year-on-year. Next, let me discuss JTs volume performance. RMC sales volume was down year-on-year, as consumer preferences have shifted from combustibles to RRP. And competition in the value segment products has intensified as a result of downgrading. RRP sales volume has been growing steadily, thanks in large part to the introduction of Ploom X. Our RRP market share slightly declined due to limited temporary demand search for our products as a result of competitors’ products having higher demand than that of ours, and relatively limited price revisions for some of our products in October in light of the tax hike. Now, I'd like to turn to the financial performance. Our core revenue grew by 2.6% year-in-year with the positive effects of the RMC price revision in October 2020, exceeding the impact of the sales volume decrease. Adjusted operating profit increased as in the previous quarter, although the growth was moderate than that in the first half, due to the start of investment and sales promotion following the nationwide rollout of Ploom X. Next, Let me give you our analysis of the demand surge ahead of our October price revision this year. Summarized at lower right in the slide. We estimate the volume of the demand surge as roughly the equivalent of 0.4 months, about the same as that after the price revisions in October 2020. The demand surge was particularly high for little cigars because the tech side on this product segment was greater compared to other products. At the same time, we understand that there was no significant surge in demand RRP products, such as Camel brand refills for Ploom X of which we did not adjust prices in October, because the tax hike on that segment was relatively low. The backlash from the demand surge somewhat continues. So while I believe it is premature to summarize the effects of the latest price revisions at this time, we have confirmed that market share for Ploom X products has grown since October, mainly Camel brands 6, which we did not change the prices for. In Slide 6, let me explain the latest performance of Ploom X, the HTS device we recently introduced. As planned we began selling the products and cream shops nationwide on August 3 expanding to convenient stores and tobacco retailers across Japan on August 17. Sales of the devices have been strong. As I mentioned, we raised the prices on some Ploom X refills including the SKU of the Mevius brands by ¥30, but held those for the Camel brand unchanged. Because of this, the surge in demand anticipating the price revisions was limited for the Camel brands and some others. And as shown by the graph. Although JT share of the RRP market dipped in late September, it grew following the price resistance. Despite the introduction of competitors new products, we will continue putting active effort into sales promotions to build our market share. In the previous briefing on second quarter results, I told you about our plan to market the devices in Russia by the end of 2021. However, short supplies of semiconductors have become a serious issue globally, making it difficult for us to secure a necessary number of devices to expand markets as we planned. Therefore, we have decided to postpone the expansion to Russia within the year and instead put priority on procuring all devices to the Japanese -- Japan market where Ploom X is already launched. Although we project it is possible for us to launch Ploom X in Russia, in the first half of 2022 at this point, the plan might be altered depending on the degree of supply shortages of semiconductors. Next, let me explain our results in the international tobacco business. Please look at slide seven. Let me start with volume performance. Growth in JT total shipment volume in the third quarter was more moderate than that in the first six months of fiscal 2021. That said total shipment volume between January and September grew by 5.7% year-on-year because industry volume in the last nine months increase year-on-year in several markets and JT share of several key markets continue to grow. Next, let me explain the financial performance for international tobacco business. We again recorded a high growth rate for core revenue due to a positive volume variance contributed mainly by Russia and the UK as well as pricing effects mainly in the Philippines, Russia, and the UK. Driven by topline growth adjusted operating profit is up, both at constant currency and on a reported yen basis. The ForEx conditions were positive as well. Let me briefly touch on the performance trends in our key markets. In Russia, illicit trade has declined due to reduced cross-border travel during the pandemic. This situation is continuing. Industry volume and the first half was at the same level as last year due to the favorable impact of lower illicit trade as well as the lockdown in the second quarter and 2020. Therefore, it was difficult to analyze the impact of the excise tax increase passed on in isolation. However, by the third quarter lower illicit trade trend has made its lap and most of the products at revised price have been distributed. Therefore, the impact of the excise tax increase could be directly observed on the industry volume. As a result, industry volume decline accelerated in this third quarter versus first half, although it is still stronger than pre-pandemic levels. With this business environment, JT share increase as brands like camel capture the down trading trend, and our shipment volume is up steadily as well. In the UK, total volume has been declining every year prior to the pandemic. In 2020, however, the industry volume trends turned upward due to travel restrictions. In the third quarter this year, total volume continuously remained solid despite a year-on-year decrease following the easing of travel restrictions. As the down trading trend continues as well, we are seeing significant growth in fine-cut category where we market several brands to secure high market share. With slide eight, let me explain the financial results for pharmaceutical business. Revenue was down due to a drop in overseas royalty income. Although, Torii Pharmaceutical JT’s consolidated subsidiary reports growth in the allergen and dermatological markets. Adjusted operating profit fell with the revenue decrease and increases R&D expenditures and sales promotion costs at Torii Pharmaceutical. Let's move on to the results for the processed food business. Revenue was down by 1.8% compared to the corresponding period in 2020, when demand for household products increased significantly due to the pandemic. The top-line for food service products was impacted mainly by the declaration of the state of emergency and still have not returned to the pre-pandemic levels. Adjusted operating profit grew despite the revenue decrease as a result of lower SG&A expenses, including reduced depreciation costs compared to 2020 when impairment losses were allocated for the factories and stores in bakery business, as well as a fire insurance claim payment related to a fire accident at a manufacturing subsidiary in January 2021. With the next slide and onward, let me speak on our revised forecast for fiscal 2021 results. On slide 10, I'll explain our consolidated revised forecasts. We have revised our previous projections upward on all financial indicators reflecting the continued robust performance of international tobacco business into the entire third quarter. All the financial indicators are projected to surpass the actual performance for fiscal 2020. For adjusted operating profit at constant currency, our group-wide performance indicator, we revised our projection upward by ¥62 billion or 11.9% from the previous forecasts based mainly on the upside of the International tobacco business, projecting a significant increase of 19.9% year-on-year. We significantly revised our projected revenue and adjusted operating profit for fiscal 2021 upward, reflecting robust business performance and adjustments in currency assumptions. These include the easing of negative currency impacts of the Russian ruble and the other currencies, as well as the yen remaining weaker against the US dollar. As a result, we've revised the projected operating profit and profit attributable to the owners of the parent company for the year upwards by ¥76 billion and ¥58 billion respectively, shifting our initial projection of profits from a year-on-year decrease to an increase. With the upward revision in our operating profit projection, and review of our capital expenditures, we have reviewed -- revised our projected free cash flow upwards by ¥72 billion to ¥485 billion. This will likely decrease year-on-year however, due to the unfavorable comparison of the income from real estate sales that we accounted last year. With slide 11, I'll explain our volume assumptions for the Japanese domestic tobacco business and revisions based on them. As we saw robust industry performance through September, we have revised our forecasts for total tobacco industry volume and RMC volume upward as shown in the slide. However, our forecast for our RRP market share remains unchanged.  Next, let me explain our shipment following forecasts. Our forecast for RMC shipment volume has been revised upward, reflecting the performance up to September, and the upward revision in our total RMC industry volume forecast that I just mentioned. Our RRP shipment volume forecast is over 4.5 billion stick equivalent remains unchanged. Let me explain our financial forecasts now. Well, RMC shipment volume is projected to improve. We've decided not to revise our previous forecast for core revenue, because of the need to carefully monitor the competitive environment after the October price revisions, including the major tax hikes on little cigars. We're also not changing our forecasts for adjusted operating profits. We will work to achieve our initial forecast, while undertaking necessary investment, mainly in sales promotion for Ploom X. Now, I'd like to turn to a review of our projected volume assumptions and revised forecasts for the International tobacco business. Please look at slide 12. First, I'll explain the volume assumptions. We've made an upward revision in our full year volume assumptions, as shown in this slide, reflecting our robust performance up to September, upward revisions and assumptions of total industry volumes in our key markets, and continued favorable share momentum. Let me elaborate the reason for the revision in volume assumptions. At the previous investor meeting, I explained that in the second half of this year, we project the industry volume trends experienced a significant negative impact in high margin markets on year-on-year basis, and a slower performance growth compared to the first half of 2021. These assumptions were resulted considering that the positive impact on the industry volume trends associated with travel restrictions in some high margin markets would have left by this third quarter, and that the pandemic related travel restrictions would have eased in the second half of this year. Examining the actual performance from July to September, however, we did not observe weaker total industry volume as we anticipated. Given this observation, we have revised the assumptions of total industry volume in our key markets positively for the remaining three months in 2021. Our share momentum also remains favorable and therefore, we have decided to revise volume assumptions upward. In Europe, although cross border travels have gradually resumed, it has not returned to the pre-pandemic level and other regions are still under restriction on cross border traffic. Under these conditions, total industry volume has continuously been robust. Taking this into consideration, it will be possible that the backlash on total industry volume will be very slow, rather than the immediate and drastic return to the pre-pandemic level as we previously anticipated. With that said, it is difficult to determine exactly when our business environment will return to its pre-pandemic state at this time. Next, are the revisions to our financial forecasts. As shown in this slide, we have made an upward revision in our forecast for core revenue at constant currency and adjusted operating profit due mainly to the higher projected volume, I spoke of previously. We have also revised our forecasts of the same on a reported yen basis upward because several local currencies have proven stronger than our initial forecasts, and the yen is far weaker against the dollar. Moving to slide 13, let me explain our revised forecasts for the pharmaceutical business first. We have made an upward revision to our previous forecasts for revenue and adjusted operating profit, both by ¥3 billion, projecting higher growth in overseas royalty income, revenue growth at Torii Pharmaceutical and deferred spending on research and development. Next, let me move to our revised forecasts for the processed food business. We have revised our revenue forecasts downward due to a slower than projected recovery of the top line in food service products and bakery businesses, despite sales growth in household products in the frozen and ambient foods business. Adjusted operating profit has been revised upward by ¥0.5 billion, as a result of efficient cost management, as well as our higher insurance claims that I mentioned in the consolidated results. Lastly, please look at slide 15. As I have explained today, we have made upward revisions to our forecasts for fiscal 2021 results, reflecting our tobacco business performance so far. Given the global semiconductor supply shortage, we will focus our resources related to Ploom X on the Japanese market for the rest of the year to secure our share of the domestic HTS market. And writing our business plan for the coming year and onward, we need to deeply understand the influences of uncertain factors, which we’ve reached in the middle of this slide. It is difficult to predict when pandemic related travel restrictions will leave and the impacts may last longer than we predict. However, we will work to quickly understand market trends worldwide, and to see and process makes changes in our business environment more precisely. Although, uncertainty in our business environment, including around the progress of negotiations on tax hikes, and tighter regulations in various countries, as well as exchange rate fluctuations remain high. We will keep an eye on how these influence our profits for the year. On a separate note, I would like to inform you about the progress in our initiatives to combining our tobacco businesses and ways to strengthen our competitiveness in the Japanese market. We did not anticipate any significant changes in the forecast for expenses related to the series of initiatives. And we are making progress in line with our initial expectations overall. Let me end my presentation by commenting on our returns to shareholders. As I've explained in this presentation so far, the upward revision of our profits is mainly due to strong performance of our business. I would like to reiterate that 2021 being the first year since we revised our shareholder return policy, the initial dividend payout ratio was approximately 96%. However, the level of the profit has been revised significantly upwards from the initial forecasts and the dividend payout ratio would be slightly below the range of 75%. That's a plus or minus 5%. Therefore, we decided to revise annual dividend guidance upward. Based on our shareholder return policy, we would like to revise the annual dividend guidance upward by ¥10 to ¥140. The yearend dividend guidance has been revised upward by ¥10 from the previous forecasts of ¥65 to ¥75 bringing the total dividend forecast for the year including the interim dividend already paid to ¥140. Thank you very much for your attention.
Unidentified Company Representative: Thank you very much. Now we would like to start the Q&A session. In addition to Mr. Minami, Chief Financial Officer we have Mr. Maeda, CFO of Japanese Tobacco Business and Mr. Shimayoshi, JTI Deputy CEO will answer your questions.
Operator: [Operator Instructions] Thank you for waiting. Mr. Miura from Citigroup Securities please.
Nobuyoshi Miura: Good evening. This is Miura from Citigroup Securities. Can you hear me all right?
Naohiro Minami: Yes, we can hear you clearly.
Nobuyoshi Miura: Thank you for the opportunity. So you have conducted a dividend hikes as promised. We are very happy to see the situation. So I'd like to ask Mr. Minami for next fiscal term for FY 2022 ending December, roughly what are some of the factors that may increase the profit or decrease the profit especially at the -- or it could be adjusted OP level?  If you can give us the major items that may contribute or perhaps dampen the profit outlets? If you can tell us what you know at this moment?
Naohiro Minami: Thank you very much for that question. This is perhaps one of the most difficult the most challenging question to answer at this point. So hopefully you can take that into consideration. As I mentioned in the final page of the presentation, we are in the mid towards the end of December to explore what would be the business plan for next year and also for the next three years. So we are in the process of doing so, therefore, unfortunately, we cannot give you the complete details at this point. As mentioned in the presentation, perhaps I could start with the tobacco business. centers of adjusted OP, it really depends on the business performance and it really depends on how we perceive those into next year onwards. And as Maeda mentioned in the final page of the presentation, it really relates to what would be our assumption that would definitely decide and highlight. And that will be the most important item for next year's plan. So for the domestic tobacco business, obviously the price revision is an important element. And the fact that we have had a fairly large market share in the little cigar segment, so there has been a fairly significant price hike in that specific category. So we need to monitor the trend going forward. So we need to really take this event under consideration. And so based on that various players and competitors will be introducing various products accordingly.
Nobuyoshi Miura: So what sort of assumptions are we going to factor in? That will be one of the key items for the next year's plan. Also in somewhat of a -- as longer outlook. So the fact that we are seeing shortage of semiconductors, the question is how many devices and to what degree can we deploy those devices in the international tobacco business, for instance, in Russia. So in line with the business momentum, can we really supply the device? And what timing are we -- can we supply those device?
Naohiro Minami: So when you look at next fiscal year, that is from January to December we need to take that timeframe into consideration.
Nobuyoshi Miura: Also to what is, depending on when we can supply, obviously to what extent the consumers can put their hands on and try the other products?
Naohiro Minami: So at this point, There is no clarity to how the COVID-19 may subside and how the regulations may unwind. So, I believe it is this is true for all the industry, the different players within the other society. So, interests of assumption for this fiscal term, perhaps we shall not see an immediate easing. So we do not expect to see a sharp swing. Initially, actually, that was our assumption. We expect you to see a sudden easing that was our initial assumption. But after the first nine months is over, we did not see a sudden easing of the regulation. And we did not experience a sharp recovery in the economy that has been experience.
Nobuyoshi Miura: So the question is how are we going to factor those in next year's assumption, that would be the most decisive factor?
Naohiro Minami: In any case, as far as safety is concern, you've mentioned dividend hike in fact, to be putting in the correct way, we were initially expecting a dividend cut, but in fact in the end, we have decided to increase the dividend per share. So, we need to really take this and look at this as squarely. So, obviously, we continue to invest, so we can grow into the future. So, those would be also the prudent under consideration for next year's plans. In terms of the adjusted op, as shared already, so all the initiatives that we are planning, so for instance, in the domestic front, so in terms of the retirement plans, and so forth, and also some of the resistance money for the Japanese tobacco growing. Those will not be paid next year. So, that will be an upside for next fiscal term. Also another point, we are making our operation more efficient and making it more a strong. So, we have been taking transformation initiatives for both domestic and international tobacco business. So, we shall see the impact realized for next fiscal term as well, a fairly significant impact. So, I apologize, perhaps I'm not giving you all the details, but that is our current outlook.
Nobuyoshi Miura: Thank you very much. May I confirm one point please? In the rest of the world, the CIS clash, especially in the Philippines and so forth. The momentum has been fairly strong. There has been a fairly strong recovery. So, it is likely that this will be continued for next year. Now, you’ve mentioned the travel restrictions may become eased or more moderate. So, perhaps we may see more of an upside for the rest of this year, what about the next year then? So, at the time of giving the guidance for the full year, is there a risk or should I believe there was a very limited risk to expect a decline in the profit? What is your take as a CFO?
Naohiro Minami: So, in terms of the net income all the way to the bottom line last year, they were definitely factors to more than 100 billion inclusive of the production part. That was an exception for last year. Those were the forces to push down the profit. So, right now, of course, that is absent right now, unlike last year situation. Therefore, for next year, we'll just be straightforward in terms of our assumption. So we will be clearly looking at the current operating environment. So in terms of the absolute amount, from top all the way to the bottom line, that will be reflected in our guidance. So in terms of the details, the Philippines and so forth, perhaps the Mr. Shima Yoshi will be the right person to ask. But as far as the Philippines concerned, last year, because of the lockdown, there has been basically a lockdown of the metropolitan area that has posed an impact. So in comparison, we are seeing a much improved performance. Also in the pre-pandemic Philippines market, it was indeed in line with our strategy. And our strategy really worked. And because of that we have been able to deliver a very good performance. But now under the pandemic and now we shall see less of a noise from the pandemic. So, indeed, it really depends on what sort of initiatives that we have been taking. And based on that, how far can we grow our business? We need to take those into consideration when making decisions for new initiatives and new challenges. That's all from me.
Yuki Maeda: Thank you very much. So this is Maeda. I am the CFO from the Japanese Tobacco Business. So one point I'd like to add about the domestic tobacco business. Over Japan, I think you have a fairly good understanding as to how we're generating profits. One point towards next year, there is a factor that is normally not in existence, that is related to little cigars, the tax benefits will no longer be in place for next year. That is what Mr. Minami mentioned. Structurally, this will be a negative factor for next year. So in reality, of course, the brand mix and so forth will have its impact. So we need to closely look at this. So let's just say as an estimate, in Q4 of this year is the little figures tax benefit. The absence of that, so this is at the top line level, about ¥6 billion will be the impact that we would see from the absence of the tax benefits. So next year, so we have three quarters worth of impact coming from that tax revision. So that amount that I've just mentioned, multiplied by three, that could be the possible the one-off factor for next fiscal quarter.
Nobuyoshi Miura: If that's the case then little cigar, half of little cigars would be reduced, 50% reduced, is that's the assumption?
Yuki Maeda: So, for little cigars volume, we do expect to see a significant decline, because it has been the one of the lowest price segment. And of course, that benefit will no longer be in place. In terms of RMC the combustibles, just for your information, the current value segment and if you compare that with the little cigars the value segment, the margin is much higher for little cigars. Therefore, we shall see deterioration of the mix. So, for ¥100 increase and a price increase was conducted, but even with that, the little cigars margin will be slightly declined. So, we do have that impact from the duration of the mix. And of course, we need to take the competition into consideration what brands will be put into value segments and so forth. But if you just do a simple calculation, that was the amount that I just mentioned, that could be the impact.
Nobuyoshi Miura: So in terms of the – there's a really strong brand. So the price elasticity tends to be low for those very solid brands. But still, you are still expecting 50% volume decline for little cigars then?
Yuki Maeda: For little cigars, so we increase the pricing by ¥100. And we shall see more people converting the value segment of RMC away from little cigars. That is our expectation. Thank you very much.
Operator: Now Mr. Fujiwara from the Nomura Securities the next person, over to you.
Satoshi Fujiwara: Good evening. This is Fujiwara from Nomura Securities. Thank you for taking my question. I have a question about RRP. You have launched, Ploom X and [indiscernible], compared against competitor products, how do you evaluate the competitiveness of your product? That's one of my questions. And on slide six, you talk about RRPs category which was around 10%, that went up to 12%. So I believe that Ploom X has been contributing. So for this year, how high do you think you can go? And how are you feeling and the response you're getting?
Naohiro Minami: Regarding Ploom X performance and share related questions, Mr. Maeda, CFO of the domestic tobacco business, we'll take your question.
Yuki Maeda: Hi Fujiwara and thank you very much for your question. Regarding Ploom X performance as you know, Ploom X was launched in ecommerce channels and events from July of 26th and includes shops on August of 3rd on a limited basis and it was nationwide from August of 17th. So regarding feedback from customers, they're talking about the design, as well as the meeting experience. And it seems that they evaluate the product pretty high. So I think we're off to a good start. And we are getting good response. So we are very encouraged by the transport team. To go into detail a little bit more for the E-commerce limited sales that we did an event. We were doing various things. By using customer IDs, we were having linkage with campaigns and running sales promotions. And we feel that it had really great impact. So into that period our device sales were solid. And I think other promotions turned out to be successful. And as you rightly pointed out the results, because we were building on device sales, we were able to increase share of refills too. So if you just look at Ploom X as it was shown on the mid side for high temperature FTS category, the growth rates are close to double of what we've been seeing before. So we are feeling good response. But I mentioned the timelines earlier. So we went nationwide in August and in September. So our grade is up anticipatory demand. And we're expecting around rage in October, we're just going to be a rebound. So I think it's going to take a little bit of more time to try to identify the strengths of this product. So I think, actually, that's the part of your question that you would like to learn about, but for now, I would say that we are off to a good start. And we are feeling good response like to keep my comments there. Thank you very much.
Satoshi Fujiwara: Well, because of the shortage of semiconductors, you are having problems with supplying to devices, I believe. But originally and your sales promotion, how far are you able to carry yellow to the sales promotions you were planning for.
Yuki Maeda: For semiconductors as you know, the market is in the current conditions as you know. So it is a risk factor in procuring devices. That is true. And with that as a backdrop, our global procurement people are working hard. And we were able to go nationwide in August as a fact, and we truly appreciate it our people's efforts and we believe we can -- feel proud of that. We should be proud of that and also for the Japanese market. As Mr. Minami mentioned and introduced earlier, we want to prioritize on a global basis, and on a global scale Japan is having the sales and events and we will like to priority in allocating those devices through Japan. So within this year, we are not expecting any concern. And at least for another six months, we should be able to secure sufficient volume and we are -- have gained visibility on that. So with that in place, of course, if we had more devices, we may have been able to do more. So when you think about the potential, if you start thinking into that direction, maybe that is right. But in the current sales promotions that we are running, we are not facing any issues that we are not able to run certain pieces of sales promotions, just because we don't have enough inventory of devices.
Satoshi Fujiwara: All right, Thank you very much.
A –UnidentifiedCompany Participant: Thank you very much. Next from Mizuho Securities, Hiroshi Saji please. 
Hiroshi Saji: Thank you very much. I have a question related to the international tobacco business, the adjusted op under constant currency; I'd like to confirm the sustainable momentum. So this fiscal term, so you have increased in ¥900 million to ¥4 billion. So that was the number you had mentioned, perhaps it was much better than, or too better, much better than initial expectation. So you have ¥200 million in the first quarter, so you have ¥700 million on a full annum basis. So I’d like to talk about Philippine, Russia and Ukraine, you haven't taken positive pricing initiative, is that sustainable for next year, or are you going to face some challenges in some markets? So there's pricing momentum for ¥700 million, is that sustainable for next year? That is the question. Also the second point, the volume, it was increased by 300 million, that was the volume positive impact? So, that has been. So, of course, that will not disappear all the sudden for next year. But do we expect to see a much tougher condition in terms of volume, so about ¥4 billion or so, if it increased by 10%? We are looking at ¥200 million, and if it's 20% increase, then we shall be looking at ¥800 million or so. So what is the momentum, the pricing? And what are some of the possible impact from rebound for instance?
Unidentified Company Participant: So, in terms of international tobacco business, JTI, Deputy CEO, Shimayoshi will answer.
Koji Shimayoshi: So this is Shimayoshi. Thank you for that question. Can you hear me all right?
Hiroshi Saji: Yes, we can hear you.
Koji Shimayoshi: In terms of combustibles, the profit growth sustainability, that was your question. So, just to reiterate, this year it was quite an exceptional performance. So, the traditional combustible model, basically pricing would offset the volume decline. So, the pricing has more than offset as the volume decline. So, that is why we haven’t been able to grow the profit. Now for this fiscal term, because of the illicit trade and also the increase in the domestic market because of the travel restrictions, so actually, the volume had actually played a positive income. Now, next fiscal term onwards, Makoto [ph], it's too early to judge at this point. So I can give you more of a qualitative outlook in terms of pricing impact. As we have seen the past, it will continue to play a positive impact in terms of profit growth. Now, for this year, especially in the first half of the year, the volume had trended at the high level. The question is, how is that going to trend going forward? So Q3 onwards, UK, Russia, in these key markets, the industry, the demand or volume has been trending negative on year-on-year basis. So, we are seeing negative trend in terms of volume. And in terms of pricing, we expect to see a positive. So, we do have a model. We are gradually getting back to the traditional model. So pricing would offset data volume declines. So, given the current the operating environment, we are gradually getting back to the traditional model that we have for combustibles that is. So combustible, just to repeat, gradually, we will get back to our original business model.
Hiroshi Saji: So this year, it has been an exceptional year. It has been uplifted because of the volume factor. So whether this will be continuing for the rest of the year, or as we see the lifting of the restrictions and travel restrictions? Are we going to see more increasing the illicit trade? So would that actually pose a negative impact on the volume as we have seen in the past? So we need to confirm that until at the very last minute of the fiscal year. So, in any case, we shall look at combustibles and also our RRP. So, JT has been lagging behind and the RRP category. So, we will be investing in sales promotion for Ploom X. And also we'll be investing in the capability. So, we will continue to do so. So, investment into RRP category, in order to generate that, we have to make sure and we need to really maximize the profit growth for the combustibles. Thank you very much.
Koji Shimayoshi: Thank you very much. Thank you very much for touching upon the increase and the investment for RRP. So, for the first half of next year, we will be launching Ploom X in the international markets. So, it has been pushed out to next year.
Hiroshi Saji: So, I was looking at several 100 millions in terms of the cost increase, should we expect that for next year? So, since you have mentioned about RRP, I would like to ask that.
Koji Shimayoshi: So, is your question related to investment into RRP for next year onwards for international tobacco business?
Hiroshi Saji: Yes, that is right.
Koji Shimayoshi: The answer to that really depends on the how many devices we can fill. So, next year onwards, we shall see -- I see a fairly strong sales promotional expense. They really depends on the sourcing of the device. So, if the demand improves, we will definitely spend more on the sales promotion without any hesitation since we are lagging behind both in domestic and the international tobacco business.
Hiroshi Saji: Thank you very much Mr. Koji.
Operator: Next person is Mr. Morita from Daiwa Securities
Makoto Morita: This is Morita from Daiwa. Thank you for taking my question. Going back to the international RRP business, I'd like to learn about more details? So including competition, for the main markets in Russia as well as in Europe, how are they doing? How do you analyze the situation? And going forward in the first half of next fiscal year, do you have plans to launch a product in Russia? Are you going to be able to tell us your group position in RRP category? So what kind of response are you currently getting? And how do you view your positioning right now?
A – Unidentified Company Representative: So the competitive landscape for the international business for RRP will be responded to by Mr. Shimayoshi.
Koji Shimayoshi: This is Shimayoshi. Thank you, Mr. Morita for your question. Regarding the situation in the international market, first of all, I'd like to talk especially about Russia. We learn about the Japanese market first. We studied the market, but what's important is that, the market exponentially grows. And when it's in that phase, we need to have products available to ride on the wave. If not, it will hurt us. So that happened in Japan with high cost taking the lead. So in Russia, at the end of last year, I believe the Russian market for this category increased suddenly to about 10%. So we introduced Ploom X. But we weren't able to catch up. Unfortunately, we are going to delay the launch of Ploom X in Russia, but when you look at competitors. They are also struggling apparently with the sourcing of devices. So for HTS and Russia, when you look at the market share from last year end going into this year the second of our RRP hasn't really increased in share. So fortunately or unfortunately, the market is not growing exponentially right now. So for the time being – as the market should stay calm and during this phase we would like to ensure we are able to source the devices. As for Europe, like the growth in Italy, it has been quite significant. HTS is being sold at low levels, taking advantage of the preferential taxation. So we look at it as a promising market, but our share for RMC is not as high as Russia. So I think we still have some time for our RMC customers. We don't expect the conversion to be that large. I think we still have some time when you're looking at the Italian market. As for the UK, it is another important market after Japan and Russia, because of the attributes of the customers. Fine cut and full flavored cigarettes, there’s many customers who prefer these types of products. Our competitor has been launching HTS products, but the market has not expanded substantially yet. So looking at the circumstances in each of the markets, including Japan, we have been deciding that Japan will be the priority for devices, followed by Russia, then it would be the EU, excluding the UK. That will be our priority for the launch of devices. Another important market for us is Taiwan. Regulation wise, the HTS market hasn't opened yet. And when -- we are interested in learning when the market is going to be deregulated. And if the market of Taiwan were to open up, we will review the priorities and consider how we should respond to the Taiwanese market.
Makoto Morita: For Russia, I'd like to learn a little bit more about Russia. You're saying that category share is about approx -- I think that your shares about around 10%. So the reason why category shares not rising? Is it because of semiconductor shortages, or is it more on the consumer side that is putting a cap on the increase of category share? You haven't been able to establish a position in Russia yet. So I think the gap in share is probably 10%. So you're going to launch Ploom X going forward. But do you think you'll be able to make it? I think you have faced challenges in Japan because of the difference and the gap you have between your competition. But what about Russia? What are your thoughts?
Naohiro Minami: For Russia, well, there's a seasonality factors too. Because during the summer, people are more active, they go outside. So RMC tends to have a high share. So now we're going to enter the winter season, we don't really have that much data of seasonality changes, so we'll have to wait and see. But once again just to repeat, the market. When the market is growing exponentially, we need to supply the market with products. That is critical. So, currently, the market is going sideways and it's stagnant. And when you look at HTS customer profiles, they do convert from our RMCs and we do have strong RMC brand. So we would like to protect our franchise as well. We also guide our customers to HTS products as well. And we do believe we will be able to catch up in the market.
Makoto Morita: That's all from me. Thank you very much.
Naohiro Minami: Thank you very much, Mr. Morita. It is time. With that, we would like to conclude the results announcements for Q3 for FY 2021. Thank you all for participating today.